Operator: Good evening. This is the Chorus Call Conference operator. Welcome and thank you for joining the Campari Group Nine Months 2024 Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Paolo Marchesini, Chief Financial and Operating Officer and Interim Co-CEO of Campari. On this call, there will be also Chiara Garavini presenting. I now hand you over to Mr. Marchesini. Please go ahead, sir.
Paolo Marchesini: Thank you for that. Good afternoon and good evening everybody and thank you for joining us today. Given the current circumstances today with me we have Chiara, who will help me walk you through the presentation deck which is, as you can see, quite thorough and long, but we'll do our best to keep it as short as possible to leave some room for the important Q&A session. In order to provide you with a comprehensive perspective of the many and important messages contained in the presentation, including the ones relating to the Company reorganization and the cost containment program. We have prepared at the beginning an executive summary which you have to consider it as the files of the presentation. So if you could follow me to Page 2 of the deck, you see the three conceptual buckets of current year performance, key Company initiatives and outlook for year 2025 and beyond. Whilst continuing to outperform the industry in key brand market combinations, mainly thanks to aperitifs and tequila. We have to say overall nine-month trend reflects a challenging backdrop due to macroeconomic and sectorial and climactic factors with a peak in the third quarter of the year. Looking into the rest of the year, cyclical macro headwinds are expected to persist. Full year profitability will also reflect impact of fixed structure, costs and committed business investments which would generate a drift in SG&A pattern in Q4 as it did in Q3. To fully exploit the long-term potential of our diversified portfolio which has increased a lot following the many acquisitions we finalized with an increasing share of aged premium spirits, our operating model will evolve toward an organization that combines on one end four newly created Houses or Brands, two in Europe aperitifs and cognac and champagne and two in the U.S. Tequila and whiskeys and rum on the other hand. So on one end, we have the four newly created Houses of Brand and on the other end, those Houses of Brands would leverage the existing three regions of Americas, EMEA, and APAC. In addition, we are envisaging an acceleration of portfolio streamlining which means disposals of tail brands which will enable to enhance focus on our key priorities, the brand sitting within the Brand Houses. So the combination of the above two initiatives, so on the change in the operating model and the streamlining of the portfolio, together with a significant cost containment program which we will talk through in coming charts will allow us to achieve a more efficient cost of doing business which is critical to support the A&P investments. Now, looking into 2025 and beyond, as the impact of the above cyclical factors fades away, we expect to continue to achieve sector outperformance which is quite clear. We will go through the outperformance by market, and particularly for Aperol, with a gradual return in the medium term to a mid to high single-digit organic growth in top line in a normalized macro environment. On the other hand, the profitability will be supported by accretion on gross margin that was there, and will resume over time, creation of operating leverage, part of it is also the cost containment program and increased efficiency in brand building spend which is one of the many outcomes of the change in the operating model. Now if you follow me to the following Page 3. In nine months our organic net sales grew 2.1%, driven by Global Priority Brands, primarily in the Americas and in EMEA. Notwithstanding many negative impacts, namely very poor weather conditions in spring and September, some pressure on disposable income from rising inflation, and a reduced confidence both on consumer and distributors end. In the third quarter, the organic net sales grew by 1.4%, reflecting the soft market context despite the outperformance versus the industry in key brand market combinations. Now if you look at the three regions in the Americas, we see particularly in the U.S. persisting challenges in selected categories, and we'll go through those. An extraordinary impact of hurricane in Jamaica in Q3, leading to supply shortages of rum portfolio, both for the local Jamaican market, as well as for the international markets. Now if we carve out impact of supply shortages, our net sales would be flattish in Q3, and those negative factors more than offset the ongoing growth in our aperitifs portfolio and on Espolon. In Europe particularly in on-premise skewed markets, such as Italy, the poor weather conditions at the beginning of spring-summer, as well as in September coupled with the already mentioned softer-than-expected consumption led to below expectations reorders in the back end of the third quarter in the month of September. In APAC, net sales impacted -- have been impacted by persisting challenges in macro particularly in China and Australia, and also adverse trading conditions. The EBIT organically declined in nine months by 4.2% with a margin of 21.9% down 140 basis points versus a year ago. In the third quarter, the organic decline accounted for 18.2% and was mainly impacted by inefficient absorption of fixed costs, particularly both production, as well as SG&A. In gross margin, in nine months we had a slightly dilutive effect of 10 basis points which was entirely due to negative mix effect from impact of poor weather and macro impacting the high margin aperitifs in Europe and EMEA. The positive pricing in the first nine months was fully offset by COGS increase, and as said, both pricing and COGS increase were mainly skewed in first quarter, and of course, the negative impact of lower production volumes drove lack of absorption of production costs. A&P with ongoing focus on brand building during summer despite the impact of lower activations due to poor weather led to A&P on sales at 16% versus 15.9% in prior year. The SG&A has been impacted by continuation of planned investments including route to market enhancements in a softer market content with muted sales performance leading to lower absorption of fixed costs. Pre-tax profit of €446.3 million was down by 5.6% on an adjusted basis. On a reported basis, down 6.1%. Now if you turn page and we'll go to Page 4, we see the performance of our regions and our brands in one-pager. So, starting from Americas, which account for 45% of our global revenues vis-a-vis pre-pandemic year 2019, CAGR has been up double digit at 10%. In nine months 2024 we're growing by 5% over a comp of last year of 7%. So, quite solid performance. In EMEA, which accounts for 48% of our revenues, since pre-pandemic, the CAGR accounted again double-digit for 11%. In first nine months, we're up 1%. But the comp is extremely tough at 12%. In APAC, again double-digit CAGR, 11%, in nine months of 2024 we're down 10%, but the comp is even more challenging at 27% in nine months 2023. Now moving on to brands that we clustered into Global Priorities, Regional Priorities and Local Priorities. Global priorities were up 68% -- account for 68% of our total revenues. They were up over the five years horizon 13% in CAGR. In nine months, they are up 3% over and above a comp of 13% of last year. Regional priorities that are now a smaller portion of the pie at 17%, they were up 8% on a CAGR basis. A decline of 2% in first nine months of this year versus an increase of 3% of last year. And Local Priorities now account for 6% of total revenues they were up mid-single digit at 6% on a five year horizon they are now down 1% but with high single-digit comp base of 7% in nine months 2023. If we move on to the Americas, 45% of our revenues as said 5% in nine months. Organic growth 1% in Q3. Starting from the biggest market, U.S. 28% of our revenues. CAGR at 10% since 2019, flat performance in Q3 0% resulting in 2% growth in nine months in a quite subdued market context. The performance in the third quarter was impacted by persisting challenges on three fronts. SKYY, some softness in Wild Turkey and Grand Marnier that, offset the continuing outperformance on our three star performers, Espolon, Aperol and Campari. Worth noting that Espolon in first nine months of this year is up 18% over and beyond the comp of 40% of last year. Aperol is up in the U.S. at 7% over and beyond a comp of 51% of last year. And Campari on the back of the Negroni week activation in Q3 is up 16%. Jamaica 5% of our revenues, 10% CAGR since 2019. Q3 performance was, badly impacted by the hurricane in July which led to product availability constraints, as well as a softer local operating environment. The cumulative performance supported by price increases, both in rums and Campari was, enough to offset the negative impact on volumes and in doing so achieving plus 1% in nine months. Other markets in the Americas regions, they totally -- in total accounted 12% of Group revenues. They've been up double-digit 12% since 2019. Ongoing solid performance mainly driven by double-digit growth in Brazil where Campari is growing quite quickly and local Brazilian brands are quite on a good trajectory. In Argentina the positive trend we started in Q2 accelerated further in Q3. In Q1 we had a poor performance. Whilst also in Canada we have quite solid growth mainly driven by both Aperol and Espolon like in the U.S. Now a little bit of, perspective on the external sellout that I think is important for the largest market of Americas, the U.S. We can see that the read across this chart is data Group is outperforming the sector, particularly in the on-premise channel which is, strategic to our brand building model, and that is achieved while maintaining a very high pricing discipline. Now if you look at the three channels, the Nielsen Off-premise, NABCA and Nielsen on, the value which of course, as comprises both the volume and price mix performance for Campari is 3% against a sector that is negative by 1%. So we have a bid to sector performance of 4% in the off-trade. In NABCA same 4% and Nielsen on were up 1% against the market that is declining 6%. So a delta of 7%. Of course on the back of reduced disposable income and reduced consumer confidence among the two channels off and on is beyond that is currently suffering the most. If you look at, price mix trajectory, talking to our pricing discipline, in nine months we're up with our portfolio 3%, market is up 2% which means that we're growing prices 50% more than market, same in NABCA, whilst, we're on par with market on trade. Now, if you look at steel at U.S. market, and you follow me to Page 7, this time around, not by channel but by brand, data read across is solid ongoing performance in key accelerated brands i.e. Aperol and Espolon, which was partly offset by challenging trends in other categories, and we'll go through that. Now if we start with Espolon, Espolon in -- and we'll separate, for each and any brand shipments from sell-out performance and within sell-out you see, the three channels consistent with the prior chart. Shipments in first nine months have been up 18% against a very high base of 40%. If you look to the right-hand side, there is a significant outperformance in sell-out. So in on premise, Espolon is up 23% versus 8% of tequila, so delta of 15%. In NABCA up 27% versus market 7% delta of 20%. And on-prem again we're up 13% versus a negative on-prem performance of tequila of 2%, so a delta 15%. Of course the Espolon volumes are mainly increasing -- increased -- sorry, the Espolon performance is mainly driven by volume performance. But also on price mix, the brand is performing quite nicely. If you take the third quarter in isolation, the price mix on Espolon is a 3% versus a 2% of the category. So we're performing better than the category. If we take Aperol, same, picture, the shipments in nine months are up 7%, but against a very high comp base of 51%. If you look at the sell-out data, again, very positive trends with strong outperformance in key strategic on-premise channel. And actually as you can see, in on trade we're beating market by 17%, were up 15% versus a negative 2% in NABCA, which contains on, we're up 17% versus a positive one of the markets so a delta of 16%, but also in off which is not, the primary driver of our Aperol brand development strategy. We're still up 10% versus the market is up 1%. Wild Turkey in bourbon category, shipments are negative and negative 6% and those are, the trend is impacted by soft category dynamics. The overall Wild Turkey franchise also has been negatively impacted by temporary shortages on Russell's Reserve which anyway, now represents 17% of the Wild Turkey portfolio. Worth signaling that Russell's Reserve is a brand that is extremely successful. Since the pre-pandemic the brand grew two times in volumes and four times in value. And a brand that last year -- sorry, this year we managed to reposition at about $55 per bottle taking 5 to 10 price points increase this year in a very challenging market. So this is why volumes seems to be softer than the category. So on pricing price mix is clearly in the context of increasing and intensifying competition in bourbon, we're doing quite well. On Grand Marnier, the shipment grew in nine months 10% of a low comparison base of a negative 34% due to the fact that we're cycling through last year destocking of Grand Marnier. The sell-out is marginally below category trends and that was entirely driven by volume as the price mix on Grand Marnier first nine months is pretty flat. Clearly, we've taken actions to improve the performance in coming quarters with a focused A&P approach including the partnership with 2Chainz. Of course, if you look at the trading backdrop, we're noticing in the sector increasing, and intensifying pricing pressure from competition. If you look at SKYY, the nine months results are negative 13%, which are below the sell-out trend and continues to be under pressure in line with other major players in the category, and it needs, particularly needs off-premise channel. Going forward, the gameplay is to stabilize volumes via limited A&P investments and focus on innovation. If you move on to Page 8, EMEA, which as said is 48% of Group revenues, in nine months is up 1%, with a small decline of 2% in Q3, starting from Italy, 16% of revenues still in a very large market since 2019 would deliver 7% CAGR. The third quarter has been impacted by significantly, as said before, below expectation reorders in the back end of the quarter, with the impact of very adverse weather conditions, both at the start of the spring-summer season, as well as in the month of September. Just to mention in Milan we had the highest rainfall in 250 years, particularly in the Northern part of Italy, leading to lower wholesaler appetite to hold stock. So the wholesale channel is critical and the Italian market is at the moment destocking. On the other end, we regularly check the key brand health indicators, KPIs and on our portfolio, particularly on the aperitifs, the brands are extremely strong. So the issue that we're seeing is more macro related and it's definitely not brand health-related. In Germany that is 9% of our revenues again a double-digit CAGR since pandemic, 13% third quarter performance impacted by high, very high base 39% in Q3 of last year due to the releasing of Aperol in the second quarter of 2023, following a commercial disruption. Aperol remains in Germany the clear market leader with strong brand health. Whilst this is the good news the launch, the recent launch of Sarti Rosa is taking quite a good traction is now 6% of German revenues, and we're expanding the brand in neighboring markets. So Austria, Switzerland, Belgium and on and so forth. Clearly, it competes in the spirits category, but it addresses more female consumers who definitely prefer sweet products as opposed to bitter ones. Moving on to France, 5% of our revenues, very strong CAGR since the pre-pandemic, 83% a decline of 8% in Q3 in a very challenging operating environment, which is primarily impacting how promo intensity categories like whiskey and rum. And clearly, we're not following that avenue of deep discounting and increasing promo frequency, whilst the aperitifs portfolio remains in France quite resilient. Now in France of course we also distribute third-party brands. If we exclude that the performance of agency brands, in nine months we would be flattish as opposed to negative 3%. In U.K. which is 3% of our revenues, the CAGR since pre-pandemic is 16%, and it's relatively stable across -- the performance is relatively stable across most of the portfolio in a quite challenging operating environment as in France and in Italy with negative impact on due to weather particularly, in the second quarter. And the resilient performance of the rest of the portfolio has been offset by weakness in the Jamaican rum and Magnum Tonic due to the supply constraints from Jamaica which I've alluded to before. In other EMEA markets that account for 15% of Group revenues we achieved in five years a very strong performance 10% CAGR with double-digit growth driven by in -- sorry nine months driven by positive contribution from most markets and in particular GTR that is registered within EMEA as it's managed out of here with nine month performance of 23% up. But also other markets like Spain, Austria, as well as the recently established Greek in market companies they are all performing extremely well. I think the launch, the creation of our in market company in Greece has been extremely successful, and we do see the acceleration of Aperol and Campari in this market that is crucial to developing the brands because it's not only local consumers but it's also exposed to international tourists. The share of Greece on the total Group is now at 1%, so quite satisfactory results. Now if you look at what is happening outside of the Group in sell-out data, a few more data sets for European market, both China, as well as the end markets. Europe off trade, so in value we've been up 4% in a market that is declining 1% so a delta performance of 5%, with again a solid bid on price mix front 3% versus 2% of the sector. Now if you look at the performance in Europe, Index 100 being pre-pandemic year 2019, the market in Europe overall grew by 11%, so index 111. We delivered a growth of 73% 133 index. With the only exception in Italy and I'll come to that in a second. In all other markets, we're clearly beating the reference market. In Italy, we actually are index 117 versus a market of 125. But it is due to the fact that this is off-trade performance and clearly the brands -- the aperitifs brands in Italy consume in on trade. That is where we're gaining market share and we're doing better and or at least in line with the market. In Germany, we're index 167 versus market 104. In France 277 market 103, in the U.K. 299 market 113, in Spain 253 market 130. So the read across is that in markets where we've established our own in market company recently, France, U.K. and Spain were performing way better than the market because we leveraged the infrastructure investment to accelerate our portfolio, particularly, the Aperitifs in Europe. And the second key takeaway of this chart is that if you look at the market share of Campari in Italy and Germany, where we have a fairly established business and where the penetration of Aperol and the Aperitif is already at a very good level, although plenty of opportunities there in other markets like France, U.K. and Spain were between 1% and 3% market share. So there is plenty of opportunity to extract further growth out of these markets. Now looking at the sell-out performance on a market-by-market basis, if you look at Europe, there is across is that there is some softness across the board in sell-out. And this is clearly as already highlighted triggered by weather and consumption patterns. But within that context the Campari Group is outperforming everywhere. So if you start from Italy left hand side, we have shipments, we are down 6% as said due to poor weather in both spring and September and softer macro leading to China destocking. Now you have to understand that Italy is a highly fragmented on trade environment and go to trade, go to on-premise is via a multilayered wholesaler structure. So it's quite a long distribution chain. And so this is where we're seeing, the big, I mean the shrink as wholesalers are trying to reduce, the capital invested. And on top of that, the shipment performance has also been negatively impacted by a commercial dispute with a certain retailer, which is extremely strong in C stores, convenience stores where it's clearly the channel where we build the Aperol and the aperitifs at-home consumption. So the shipment doesn't reflect the sell-out that is of course negative 1% in Italy on as a Campari in line with sector. So the shipment performance is way above, the market trend. If you move on to Germany we have a negative 6% shipment performance. But worth noting that the - positive 5% shipment performance but over and above a 25% nine-month performance in shipments. And in Q3 you see the 6% decline over and above a comp base of 39% in Germany. So clearly the performance is good. And this is -- last year performance is due to the relisting of Aperol in one of the retailers. If you look at the sell-out, actually in nine months, Campari Germany is growing 13% versus a market that is up 1%. So we have a debt of 12 points. In France, the shipments are negatively impacted by soft sector backdrop a negative 3%. The subdued sector sell-out trends shows a Campari performance that is slightly below the sector, slightly below negative 5% versus negative 3% due to the two categories that I've mentioned, rums and whiskey whilst the aperitifs keep on growing in France. And actually, even considering the rums and whiskeys, the overall Q3 sell-out is trending better than the sector in still negative, but better than the sector driven by the acceleration of our Aperitif portfolio. In the U.K., the shipments are showing negative trends, negative 8%. And this is mainly due to the already mentioned supply constraints and negative impact in both Jamaican rums and Magnum Tonic. If you look at the external sell-out data, the sector is soft. It's a negative 1% although we see some signs of our performance improvement in the Q3 were up 6% against a market that is still negative 1%. If you look at the rest of European markets, the shipment performance is quite strong, 12% double-digit as it performed last year. And the growth that is extremely sustained is across all seeding European countries, and this is clearly mainly driven by our aperitifs portfolio. If you move on to APAC, which is just 7% of our revenues. As said, in nine months we're down 10% and 8% in Q3. Actually, Australia which is 3% of our revenue since pre-pandemic is up 5% on CAGR basis. The performance has been impacted by challenging macro in a very competitive environment, impacting particularly the Wild Turkey portfolio. On the other hand, Aperol and Campari, they show double-digit growth momentum in -- sorry, for that in Australia and this is extremely, encouraging because, we're getting as we speak to the peak season for aperitifs with a very good trajectory in Australia. Espolon as well of a small base is growing double-digit also thanks to the newly launched Espolon RTD. Clearly, now that Espolon is no longer constrained in terms of liquids. We're pushing the brand in every single market as we see a lot of potential on tequila in international markets. So in Australia we also, our business is not only selling, our own products, we also have, a fairly significant co-packing business which is negative. So it's bustling of, RTDs for third parties. So if we carve out the poor performance of co-packing business, Q3 would be up 8% and year-to-date performance a negative 3% versus a reported negative 9%. In the other markets of APAC that account 3% of global revenues, the performance since pandemic is quite strong, 20% CAGR. In nine months the performance, shipment performance has been mainly impacted by India, South Korea and China. That more than offset the ongoing growth in Japan. And Japan is also leveraging the recently successful launch of the Wild Turkey Highball Ready to Drink. In South Korea, in Q2 and Q3 we're benefiting from easier comps. We had a poor performance in Q1, but this is South Korea we think is a very promising market, very high gross margin as a percentage of revenues, very important brown spirits market. So it's a market that we intend to nurture in coming years. And of course, both China and India have been negatively impacted by change in route to market. And in China that, change in route to market impact was coupled with a very challenging macro backdrop. We'll see whether the announced stimulus measures will help improve the consumption patterns in coming quarters in China. If we move on to the analysis of brand performance, and starting from our leading brand Aperol, 26% of our revenues, 17% compound average growth rate since 2019 the growth of 3% in nine months on a tough comp base 23% in nine months 2023 was impacted by phasing of shipments and poor weather as said particularly in Italy. But if you look at Americas, we've registered on Aperol's strong growth in all markets U.S., Canada and Citi markets also as said in Brazil and Mexico, but also in APAC and in Australia we had very good growth, and in Europe, the most successful markets in nine months have been Greece and GTR. Now if you excluded Italy and Germany for the cyclical factors I've alluded to, the growth would be in nine months 9% as opposed to 3%. Campari, which accounts for 11% of our revenues was up 14% on an annual basis versus 2019. The nine months ongoing growth was quite solid 8%, and was led by Americas particularly Brazil as said, but also Greece, GTR and France. In the U.S. specifically, Campari grew by 16% in the third quarter and was supported by the Negroni week activation in the month of September. Espolon 9% of our revenues 32% annual growth since 2019. Double-digit growth on a very high comp base of last year nine months 2023 38%. The performance was led by the biggest market in the U.S. growing double digit but also in all seeding markets, Australia, Italy, GTR, they are growing nicely. While Turkey 7% of our revenues up 8% on an annual basis since 2019. In Q3, we had a soft performance driven by core U.S. across the portfolio. As said before, Russell's Reserve was flat in nine months with impact on volumes. And that, impact on volumes due to supply constraint was offset by price repositioning, as said, at 5 to 10 price point price repositioning in a backdrop of intensifying competition, particularly in super-premium bourbons. In Japan, we see an ongoing double-digit growth also in Canada and in other European markets also of a relatively small base. The Jamaican rums up 10% annual basis since 2019. Of course, the performance of both Q3 and as a consequence of that nine months have been negatively impacted by the hurricane and product shortages. And so this is something that we have to factor in. But we believe we'll come to a resolution of the supply chain issues by the back end of this year. So we believe by December this supply constraint situation will be fixed. Grand Marnier up 1%, 5% of Group revenues, up 1% since 2019. Of course, in nine months the brand is up 6%. But the pace of growth is slowing down as we cycle through the easier comp base of the first six months. The category is highly competitive and is clearly offsetting the progress that we're making on Grand Marnier in other geographies outside of the U.S. SKYY 4%, now SKYY is just down to 4% of our revenues is negative CAGR 4% since pre-pandemic. The negative performance is driven by core U.S. in line with other major players in the vodka category. And the growth in rest of America and other international markets outside of the U.S. is not enough to offset the decline in the U.S. Now if you look at drill down on Aperol, I think it's an important brand. Again here we have sell-out data. The read across is that Aperol is outperforming the category in all core European markets, except Italy due to the cyclical factors that I have and the one offs that I've mentioned, but still enjoying a very strong double digit growth in seeding markets and is delivering on strategy. So starting from Italy where we have, 8% shipment, negative 8% shipment performance, this shipping performance is not reflecting the sell-out which is negative by 1%. And these, due to destocking, the commercial dispute that I have, alluded to. The nine months in sell-out performance has been of course negatively impacted by weather consumption pattern. But the brand is performing in line with the category because the brand is mostly the category. In Germany, in first nine months the shipments were up 3% against a very tough comp of 34%. In the third quarter, you see a decline of 17%. But of course, you have to measure that performance against the plus 44% of last year that followed the releasing of Aperol after the commercial disruption. Aperol in sell-out in Germany is quite strong, 22% up. So you see shipment free-sell out 22%. The aperitifs overall are up 16%. So there is a delta performance positive of 6% in the last two weeks. That is, not just this year, but is a recurring thing. And now Aperol has achieved the number one spot as a spirit brand and most other spirits brand as in Italy. So quite a remarkable achievement. And as said all, the brand health indicators are extremely, strong in Germany on Aperol. U.S. shipments were up 7% against a very tough comp base of 51%. In sell-out we have clearly an ongoing outperformance also in this market, orders are up 1%, Aperol is up 10%. So the delta versus market is a healthy 9%. In addition, if you look at this is sell-out. If you look at the on-trade, the Nielsen on-premise the brand, our key channel is up in nine months 15% driven by increased rotation in core cities then maybe we can elaborate on our expansion strategy in terms of penetration of Aperol in the U.S. but clearly, Aperol is in a very good footing in all the, our markets, particularly in the U.S. In U.S., Aperol Spritz is the most popular cocktail in the U.S. If you look at France, where shipments are flat as a back of 0%, with a positive sell-out 5%, beating, market that is up 1%. It is -- trend is decelerating due to the subdued sector backdrop. But clearly the job performance is still there. If look at, brand health indicators now, Aperol is the most improved brand by consideration. It means that, of course, in France the brand is taking traction. In the U.S. - sorry in the U.K., shipments are down 2% over and beyond a comp of a positive 26%. In sellout, the brand is down 2%, but the market is down 13%. So there is a positive delta of 11%, and the category decline is totally attributable to the very poor weather condition in the second quarter of this year. Now, if you look at the performance, in the third quarter, the brand is up 15%. So coming back to positive territory. Again also in U.S. and the U.K., if you look at the brand health indicator, one of those Aperol Spritz is the number one cocktail in London and the number three cocktail nationally, which means that it's no longer just London, but it's taking traction globally in the U.K. In the other European markets again shipments and consumption is quite healthy at a plus 13% in all markets and in particular as mentioned Spain, Greece, GTR and also Australia. Regional priorities, I will, go quickly through those. Other specialties up 10% in nine months, mainly impacted by Magnum Tonic, supply constraints. But other brands like Frangelico, Aperol Spritz, Picon, they are growing nicely. Sparkling Wines and Vermouth, they've been up 13% since 2019. In nine months, they're up 10% driven by Champagne Lallier, but also the Sparkling Wines. Crodino, which is just 2% of our revenues a moderate growth since pre-pandemic, but is a brand that is getting very strong momentum and solid double-digit growth in international -- in all international markets, not only Netherlands, Germany, Greece and Switzerland and U.K., but it's a brand non-alc is definitely there. In Italy, the brand suffered from the streamlining of the offer -- of the offering. So, we've discontinued certain Crodino variants and that is, impacting the Italian performance. But if we excluded the discontinued SKUs in nine months that we would be up 5% globally. Other risk is and they've been up 3% but the performance has been impacted by the softer category trends across, all markets. South Korea, I said we need to keep an eye on this market because it's quite promising for our brand period portfolio. On local priorities, Campari Soda, 6% up since 2019, solid performance in the core Italian market, it's recovering following the poor weather condition in second quarter. So year-to-date in a month is negative 3%. And then you can see, on other brands, Wild Turkey RTD, Ouzo12, we have, solid performance and the only one that in nine months is in negative territory, also up 4% since pre pandemic is SKYY RTD in the highly competitive core Mexican market. A little bit of an update now on Courvoisier. I think it's important to be underlined. So far we've made some good progress on both the integration of the brand, as well as on the development of our strategy. So in terms of investments, we've strengthened our sales and commercial capabilities in core markets, namely the U.S. the U.K., the two biggest markets as well as in China, that the brand has high exposure to African Americans and Hispanic, and clearly it's not core target of our portfolio. So we've hired sales people with clearly have still the head of Cognac and Champagne Brand House with [indiscernible]. We are taking commercial actions to clear the trade. China, probably there is a little bit excess stock in particular in China, we have to say. We are realigning the pricing structure so we are negotiating commercial agreements virtually in all markets as we sense that the price position of the brand is not yet the one that it deserves. And we've started the brand-building investments. We have reopened the Maison Courvoisier in Jarnac after a multi-year restoration project which costed a significant amount of money to the sellers. And the brand strategic assessment and way forward will be ready by the end of 2024 for a launch and rollout in January 2025. Now clearly, there are some improvements that we need to achieve. First and foremost, we need to go through a structural reset of the brand health and also as a consequence of that, the profitability of the brand to make sure that we improve its gross margin, following the negative impact of the transition of the -- brand transition from the sellers to Campari. So we need to clear, the prior tactical price discounting. So we need to reestablish the proper price positioning. And of course, we need to cycle through the very high cost of the eaux-devie that we're currently using. As those have been built four, six years ago during COVID at very high prices. And on top of that, given Cognac in its biggest market U.S., where the brand is most exposed suffered since 2023 and volumes for the category and for Courvoisier are lower than they used to be. There is an element of making sure that we have a full absorption of production fixed cost in our Courvoisier plant that is further diluting the gross margin. In terms of way forward in the two biggest markets, clearly with the approach that we're taking is that, we would focus on BS in the U.S. that is the key SKU on the higher marks in APAC. We will go through portfolio premiumization in all markets, also via innovation and simplification. In innovation, clearly as the offering goes through typically VS, VSOP, XO and in between you have variants. So this is clearly an opportunity that we have to tap into the intermediates. And in terms of simplification at the upper end of our offering over and beyond XO, it has to be probably not probably -- it has to be cleaned up. If you look at the performance and contribution, the sellout trends in Q3 are showing of course weakness as I said in the U.S., driven by volumes. Why? The price mix is negative one versus a category that is down 4%, driven of course by the market incumbent in the U.S. Whilst in the U.K. the stable trend in the category flattish on the other hand, Courvoisier is performing quite nicely with a positive 8%. The contribution to nine months in terms of net sales accounts for €35 million for the period May to September. It is primarily achieved in the U.S. and U.K. with a quite tiny impact on EBIT due to the already mentioned investments. A little bit update on activation so on Campari Film Festival from the pictures you can see the fifth consecutive year celebrating the Locarno Film Festival as official partner, the seventh year as main sponsor of the Venice International Film Festival and the debut partnership at the Toronto International Film Festival. The film festival platform is clearly key to activate, our Campari brand internationally, but also, the Negroni Week this year we're celebrating through a series of initiatives and experiences across now 93 markets and across almost 14,000 venues. In terms of reach, in terms of number of markets were up 18% versus prior year and in terms of venues up 16% versus last year so quite successful. On Aperol, clearly you see the U.S. Open partnership which is, second time this year with further expansion of its presence on locations, overtaking bigger share of the U.S. Open pie. We also collaborated with the actress Ashley Parker from Emily in Paris series across multiple channels including media and social media. With that said, I happily leave the floor to Chiara who would help us go through the numbers [that can add]
Chiara Garavini: Thank you, Paolo, and hi everyone. So on Page 20 we analyze EBIT adjustments which amounted to €499 million down organically by 4.2% and generating a margin dilution of 140 basis points, reaching a margin of 21.9% on sales. As we mentioned already, this trend was driven by lower absorption of fixed costs across P&L lines in a softer market context, given that net sales organic change was up by 2.1% in nine months. This effect was amplified in the third quarter as the organic change in EBIT adjusted was negative by 18.2%, showing a margin dilution of 370 basis points, given net sales organic change of 1.4% negative. In terms of the key drivers, so we focus first on gross profit which was up by 1.9%, generating a dilution of 10 basis points. This result was due to mix effect mainly in Q2 and September generated by the impact of poor weather conditions, and also macro conditions on high margin aperitifs in EMEA as well as a rapid growth of Espolon which was up 19% in the nine months. With regards to the other drivers of gross margin we had a positive pricing impact which was fully offset by COGS both mainly skewed into Q1. So as we mentioned earlier pricing was driven by carryover effect from the previous year and COGS inflation was driven by carry forward effect of high cost inventory from the last year which we depleted since beginning of 2024. Focusing on the third quarter the gross margin was accretive by 10 basis points mainly impacted by an efficient absorption of fixed production costs due to lower production volume, whilst we continued to remain disciplined from the viewpoint of pricing. Looking into Q4 from gross margin we expect unfavorable sales mix and lack of absorption of a fixed production cost due to lower production volume, and that is despite benefits on ingredients, including agave and glass. So combined we expect that this effect to drive an overall dilution which is also driven by a very challenging comparison base in the Q4 2023, when gross margin was up by 160 basis points. So as a result on a full year basis, we expect the positive pricing effect as we guided for full year 2024, a positive pricing effect no more than 1% to 2%. So positive pricing effect to be more than offset by COGS headwinds, as well as unfavorable sales mix effect. In terms of COGS headwinds, we expect this effect to be generated by the inflation, combined with stock effect, lower absorption of fixed cost, higher depreciation partly offset by positive benefits in ingredients particularly agave and glass, particularly with regards to agave. We are confirming our expectation for €20 million on a full year basis as a benefit, plus other packaging materials, as well as logistics. Moving on to A&P, A&P was up by 3.7% in the nine months with 30 basis point margin dilution, with ongoing focus on brand building during the summer season. Despite the impact of lower activations in connection with the poor weather, particularly in spring and September. A&P to sales were 16%, so relatively stable versus nine months 2023 when it was 15.9% on sales. Focusing on the third quarter, A&P was up by 6.6% with a dilution of 140 basis points, impacted by soft sales, it reached 17.7% on sales versus 16.8% in Q3 2023. Looking into Q4 we expect to keep A&P broadly in line with Q3 as a percentage of net sales, so as a result 2024 level on a full year basis for A&P, we expect this cost line to remain slightly below 2023 level of 16.9%, but also clearly depending on trend in net sales. So A&P on a full-year basis might be from neutral to slightly accretive overall. In terms of SG&A, SG&A grew 7.6% in the nine months with 110 basis points impacted by the continuation of planned investment, including our strengthening of route-to-market, both in Asia with carryover effect from last year investments, plus the setup of the new market in massive market Company in Greece and that was in a market context of softer sales. So that led to lower absorption of fixed costs. As we explained, our SG&A fixed portion is about 75% of total cost line. In Q3, SG&A grew by 10.9%, generating a dilution of a 200 basis point mainly driven by muted sales at minus 1.4. Looking into Q4 the trend will be driven by ongoing completion of committed business investments. Therefore Q4 SG&A organic growth trajectory is expected to be similar to Q3 and so that means that it is expected to generate a dilution on a full year basis. Meanwhile, we define a roadmap ahead with initiatives in place to ensure growth and profitability in the medium term and Paolo will focus on that in a couple of slides. Overall EBIT adjusted reported was negative by 4.1%. Perimeter was slightly positive on EBIT by 0.4% or €2.2 million, resulting from the impact of Courvoisier and other business partly offset by the domination of some agency brands in France. As we explained, Courvoisier is generating a contained impact on EBIT in this first transition year. Also given investment in commercial and marketing teams which occurred in Q3 and which will continue into Q4. So on a full year basis with regards to perimeter, we expect a contained contribution, combining Courvoisier and also the effects from determination of agency brands. FX effect was slightly negative 0.3% or €1.7 million, and that was generated by positive impact on costs of U.S. dollar and pound depreciation. In Q3 we benefited from favorable trend in the Mexican peso and in Q4 we still expect a slightly positive effect or a positive a full year basis effect. EBITDA adjusted was €591 million, down by 1.8% of which a 2% organic. Just a quick mention to depreciation, depreciation increased by 11.6% or €9.4 million in the nine months, as a result of CapEx plan which will continue in Q4. In terms of Group pre-tax profit on the next chart, so we had total operating adjustment of €30.9 million negative and mainly driven by the Courvoisier deal-related costs plus some more restructuring initiatives. In terms of the financial expenses, the interest overall amounted to €57.7 million increasing by €7.2 million versus nine months 2023. This line is composed by two items, exchange losses amounting to €2.1 million, mostly unrealized versus negative at €12.1 in nine month 2023, benefiting from less unfavorable or less volatile trend in exchange rates in 2024. Excluding these effects, financial expenses were €55.6 million with an increase of 17.2% driven by higher average net debt €2.1 billion this year versus 1.7% last year, mainly due to the Courvoisier acquisition, as well as by higher average cost of refinancing in the nine months. These two effects were partially offset by the benefit of temporary higher cash position ahead of Courvoisier closing at the end of April. Average cost of net debt was 3.7%. This was 3% in the nine months. And looking into Q4, we expect an amount of net interest in value terms to be slightly higher than Q3, reflecting the impact on available cash from certain corporate transactions, including Capevin, the acquisition of the minority stake as well as the acquisition of the remaining minority in the Mexican companies, as well as our continuous commitment to extraordinary CapEx plan. And that is of course, net of the positive cash flow generation. Then hyperinflation effect and now remeasurements were €9.6 million, mainly due to Argentina. And then we had overall pre-tax profit adjusted of €446 million. Pre-tax profit at Group level was €423 million after non-controlling interest of €5.8 million negative. Moving on into the next chart on analysis of net debt. Net debt was €2.6 billion at the end of September, up €710.5 million versus last year. And that amount reflects the net impact of the Courvoisier acquisition €477 million net of the capital increase. The acquisition of the minority stake in Capevin for a total amount of €83 million. Extraordinary CapEx investment of approximately €200 million at the dividend payment of €78. And all this partly offset by the positive cash generation in the nine months. Just a quick reference to CapEx. We confirm our plan for overall 500, 550 extraordinary investments for 2024 and 2025 with about two-thirds of the program to be completed by 2024 and one-third to be completed in 2025, which means that in Q4 we will still have a little bit more than €100 million of CapEx to go. With regards to cash position, we need also to remind the impact on €46 million for the acquisition of the remaining 49% in the Company owner of Ancho Reyes and Montelobos, bearing in mind that this transaction has no impact on the net financial position as it was already included in the estimated put option and earn out. Overall liabilities for put option and earn-out reflected first the earnout in connection with the Courvoisier acquisition and then the effect of the reduction from the earnout in connection with the acquisition of the minority stake in Ancho, Reyes and Montelobos. EBITDA ratio -- so net debt to EBITDA ratio was 3.4 times on a pro forma basis, considering Courvoisier impact only for five months, and that would correspond to 3.6 times with an annual estimated effect for Courvoisier, and that compares with 2.5 times at the end of December 2023. So that's it from my side and I hand it back to you.
Paolo Marchesini: Thank you. Thank you, Chiara. If you follow me to Page 24 we have in one page the summary with both description impact of key Company initiatives starting from the creation of Houses of Brand. This is quite a transformational move as we create the four houses of brands, Cognac & Champagne in Paris, aperitifs in Italy and whiskeys and rum on one hand and tequila in New York. In terms of impact looking first at growth and then the impact on efficiency and profitability. Clearly, the overriding objective is to accelerate the growth of our brands and our categories, so enhance the ambition. The four Houses of Brands will be fully accountable for the brands and the category global P&L. They will be accountable at global level for the resource allocation including marketing and commercial investments. They will be responsible for innovation and they will have a very tight connection with upstream supply chain, read it as, liquid making, cash finish, ODV procurement, blending and on and so forth, which is, a key piece of the marketing exercise in particular, in brown spirits, less so with, with aperitifs. Again, another, positive impact on growth is that it goes towards, further premiumization of our portfolio, particularly in brown spirits space, and it will improve the effectiveness of our marketing initiatives where we're going towards a stronger central coordination, central driver which would leverage the existing local marketing capabilities and local marketing teams. So we fundamentally believe that the consumers are different in each and every market. We leverage the existing marketing capabilities, but we want to have stronger central coordination of the different local initiatives. In terms of cost, efficiency and profitability, it clearly increases the efficiency and the agility also via delayering of global and local structures and reduction of duplications. And also if you look at the A&P budgets, we will have a more focused and effective allocation of the investments and the resources again to avoid, duplication and to get the best ROI of, the assets that are developed centrally. The second, vertical of key Company initiatives, this portfolio is streamlining that goes through exposures. As said before, the global priorities now account for 68% of our total net sales, ahead of the full first time consolidation of Courvoisier. So clearly as we redirect, investments into, the priority brands and into the Houses of Brands, clearly we need to make choices and we will reduce -- we will cut the tail. As we, redirect funds, focus on investments, on priorities, key priorities of course that would bode well for their growth trajectory in coming years. And of course, by, reducing, the complexity of portfolio management with free up resources that we can partly allocate to priority brands and partly, we can reduce cost to support margins. The cost containment program which I've alluded to is basically to create, efficiency in structured costs leveraging, as said, the change in the operating model with the creation of the Brand Houses, the delayering, the reduction of duplication, the reduction of the portfolio complexity via disposals, but also leveraging the very high-tech investments that we've done in the past, starting from the migration into S/4HANA and the implementation of advanced integrated planning which would on one hand accelerate our growth as we have better business visibility but also drives a lower cost of doing business with reduction of the organization. In terms of targets we are setting ourselves a target of 200 basis points overall reduction of SG&A as a percentage of net sales in the next three years. So reduction of 200 basis points in year 2027 as a percentage of revenues. It is clearly accretive from an EBIT perspective and would progressively deliver operating leverage. In terms of outlook for year 2024, Chiara has already covered most of it in terms of net sales, we are looking at the low single-digit top line growth. Americas impacted by ongoing muted consumption environment in the U.S. with growth rate also to reflect high comp base in Q4, as well as the tail end effect of the hurricane in Jamaica causing supply shortages and poor trading environment in Jamaica whilst in North America the other countries we expect that it would continue to grow as they did in first nine months. EMEA with ongoing impact of stocking, high competition, and low consumer confidence in selected markets, no recovery of the Q3 shortfall in a low seasonality quarter for aperitifs and that's clearly a fact. In APAC with some potential benefit from easing macro environment but still with ongoing impact of route to market finalization particularly as said in India and China. The organic performance in EBIT both in terms of margin as well as value change will be negatively impacted by gross margin due to dilutive sales mix and lack of absorption of this production cost due to lower production volumes. Despite all the benefits on raw and packaging materials, the SG&A driven by ongoing completion of committed business investments. Now if you look into the medium-to-medium long-term Campari Group, we remain confident to continue outperformance to -- remain confident in continued outperformance and market share gain as we saw in the previous nine months, leveraging its stronger brand in growing categories with a gradual return in the medium term to a mid to high single-digit organic growth trajectory in a normalized macro environment. On the other hand, if you look at profit and profitability, gross margin is expected to benefit from that top line growth, mid to high single-digit organic net sales growth. Positive sales mix driven by aperitifs, but also tequila that in 2025 will be no longer dilutive or if any marginally dilutive and the overall premiumization across the portfolio that we are achieving as shown in the prior charts. And also some COGS efficiencies namely tailwinds that will impact positively 2025 and coming years. EBIT margin accretion will be therefore supported by, the key Company initiatives that they have just described with 200 basis points overall benefit on net sales of SG&A as a percentage of net sales in the next three years by 2027, and increased efficiency in brand building spend on the back of the reorganization of our brand management operating model into the Houses of Brands. And with that you know we are here to take your questions.
Operator: [Operator Instructions] The first question is from Andrea Pistacchi, Bank of America. Please go ahead.
Andrea Pistacchi: Yes, good evening, Paolo and Chiara. Three if I can please. The first one is really to try and unpack a bit what happened in the quarter. On the H1 call in July you sounded cautiously but reasonably optimistic about the outlook, and you said that Q3 had started pretty well in all regions. So you've highlighted a lot of things today like destocking in Italy, the hurricane in Jamaica. But if you really had to highlight two or three main things that have completely derailed the quarter, what would these be? Then my second question please is actually on the medium term sort of outlook that you're presenting, particularly on margins. You say gross margin should increase SG&A to sales leverage. Thanks for some of the initiatives you're doing an important benefit, 200 basis points over three years. How much of these benefits do you think you'll need to or you'll want to reinvest in A&P? You were talking about efficiencies in A&P, but do you think the 17%, 18% of sales, which is your historic level of A&P, do you think this will be enough given the various growth ambitions that you have now also on brown spirit? Then, if I may with a third question. I don't know how much you're able to say on this, but I was hoping a bit for an update on the CEO situation, whether you could share any context, possibly on Matteo's departure, but more importantly, how you're thinking about the new CEO appointment. What are the main criteria for the search, internal versus external? Does he have to be Italian speaking or is that less important experience in Asia, et cetera? And where you are in the process?
Paolo Marchesini: Thank you, Andrea, for your questions. No, I think the first one, if I understand it well, vis-a-vis the July outlook, what are the major derailers? Of course, the hurricane in Jamaica, the very poor weather conditions in the month of September, which is, critical for aperitifs is another one. I think probably, we have maybe underestimated the level of, disruption at the level of consumer confidence. That's one. And we were all hoping for a bounce back of consumption following very poor weather conditions of last year, whilst consumer confidence suddenly fell in a significant manner. And I think also the destocking was highly unexpected, particularly in Italy, of course we know that in the U.S., if you think at inventory levels, you have the wholesalers, you have the retailer, you have consumers, stocks. I don't sell at level, they remain quite healthy at about two months or below selectively on local brands. At retailer level, even there, we've noticed a shrink in inventory on hand. So that is clearly negatively impacting the shipment performance. But that said that we believe all those factors are quite cyclical and not recurring. And we believe we'll be back soon to our original growth trajectory across the different markets. So we remain quite confident vis-a-vis the long-term. Unfortunately, this year is a combination of disappointing consumption pattern across key categories and across key markets. It's more external elements with planned investments that we've clearly implemented to accelerate the future development of our portfolio performance, including investments in strengthening the recently created route-to-market, existing markets. And this is clearly causing the SG&A drift that we will correct over time. If you look at the second question, that is the mid-term margin guidance then of course, starting from next year, of course, as you very well known, this year, it has been impacted by some positive tailwinds and some negative headwinds. But if you look at year 2025 and we sum up all the headwinds and the tailwinds, we end up with roughly a net positive effect of €30 million in year 2025. And this is coming from 2024 headwinds that are turning into 2025 tailwinds or €30 million. Namely the non-recurring effect of lack of fixed cost absorption that impacted this year for €15 million. The effect -- the negative effect of safety stock that has been built in year 2023 at very high cost and is clearly negatively impacting year '25. This is another €15 million so those €30 million are non-recurring and shouldn't be seen in the base for year 2025. You then have tailwinds that remain tailwinds in 2025. That is the effect of agave €25 million this year -- sorry, €20 million this year 2024, which would have a tail effect of another €25 million to €30 million and then other €10 million in 2026. And then you have glass logistic costs in 2025 that still are positive. So we're talking another between agave, another raw packaging material, another possibly €30 million. And then you have 2024 headwinds that still remain headwinds in 2025. And this is the higher depreciation due to higher CapEx. So, we have a very heavy CapEx expansion program that is generating, roughly €500 million of extraordinary CapEx. And it is, generating a depreciation drift in our P&L. If you look at EBITDA clearly of €15 million. And then you have the fact that as we dump liquid, aging liquid that has been distilled years ago, we are a negative effect. We have a negative effect in our P&L. So that negative effect was worth €10 million in 2025 and again 2024 Andrea, and it still is worth €10 million in 2025. So if you add the three components, you end up with roughly €30 million of positive. So we have, aside of the mix effect, roughly 90 basis points of net tailwinds next year to start with, which is, I think encouraging. Now, if you look at the, if you look at the question on the A&P as a percentage of revenues, whether, the 17% perspective is enough or not, we think, yes. Clearly, as we look into the A&P budgets, and we are making some very good progress into activity-based budgets and we not only plan A&P based on incremental spend but also we challenge the activities and we measure how much the assets that are generated are leveraged by the organization. We sense that there is a big opportunity of getting a bigger bang for the buck. So I think there is a lot of opportunity of increasing the impact on consumers whilst keeping the A&P on revenues at about the 17% that you've mentioned.
Andrea Pistacchi: Just on - sorry, Paolo, just going, before we move to the CEO question, just if I wrap that up, if I understand, so gross margin, yes, there's a benefit of potentially around 90 basis points. Then plus minus any mix effects that we'll see. Then you have some SG&A leverage in theory, which will depend on top line and then the A&P probably goes up a bit but the 17%. One thing you didn't really mention on this is, promotions and how that may have weighed or whether it will weigh in a competitive environment. Is that not a factor on margins?
Paolo Marchesini: Well, on promo, it's very difficult to -- but overall clearly we see an increased level of promo frequency and that's a fact. But said that I think we've proven the fact that on pricing we've been quite disciplined so far and we intend to maintain that stance both in key U.S. market, as well as in Europe where most of our products, particularly aperitifs are consumed in the Andrea. So it's not really promo frequency that drives consumption in our point of view. So, if you look at the U.S. I think in our key categories, Espolon is quite well positioned in terms of pricing and headline pricing and it clearly benefits from, trading down from super premium plus and premium, super-premium tequilas and bringing up from standard tequilas. So, we don't sense any need of being aggressive on price in tequila. On U.S. whiskey, overall the environment we sense is fairly benign. There is probably one player which I'm not going to mention that, is a little bit more aggressive on pricing, on the other, you know -- if you look at the other players, I think bourbons and U.S. whiskeys is in a safe place. There is of course, a lot of distilled whiskey sitting in bars and warehouses. But the players seem to be disciplined. Of course, we're all reducing distilling amounts. But I don't sense that bourbon is at risk. Of course, pressure on vodka is definitely there. On SKYY Vodka, clearly we're quite active in double-checking price elasticity on a state-by-state level in the U.S. and I think in few test markets we're getting very interesting results by trimming the positioning of SKYY Vodka versus key competitors. And it seems that overall, we're achieving net positive gross profit impact. So we will be more focused on a state-by-state basis as opposed to going broad with one single price policy overall. But even there, I think there will be a little bit of drift, but I don't think, if I can summarize globally for next year, promo will be the big mover. Mix is key. Unfortunately this year, it didn't go well for the reasons that we've mentioned. But again, structurally the business is structured in a way that the gross margin expansion will be achieved. On Espolon, we think that on the back of the reduction of the cost of agave next year will be at around 50% gross margin. That I think is a very good achievement. Also taking in consideration that, negotiating agave contracts -- in contracts in Mexico is quite difficult. So I think, the results are there. So next year, at least, we will not see the significant drift in our growth margin from Tequila. So overall we -- I think on promo, we're in a good spot. I think, probably, the worst is behind us. Of course, in cognac, we've seen some deterioration of pricing, particularly from the incumbent starting from, I would say, Q2, 2023, I would say, looking at the Nissan data. Clearly, the Courvoisier brand is not yet what it should be in terms of pricing. But any price repositioning of the brand should come with stronger AMD investment to reinforce the equity of the brand. Of course, some aggressive and tactical discounting that has been implemented by the seller during the transition will not be repeated in year 2025. And so per se, we will have an improvement of the Courvoisier gross margin in next year vis a vis this year that is quite low for the reasons I've mentioned. I don't know Andrea, whether you have a question, that was on the CEO? Yes.
Andrea Pistacchi: I also had on CEO, but I'll let -- I pass it on. I've been on enough, I think.
Paolo Marchesini: Okay. On the CEO, I think we're making good progress. I think we will realistically come to an appointment in a relatively short period of time. We're not talking years. Clearly, the Company is managed by a very strong team of professionals. So everything is progressing as it should. You've seen we've announced a major cost containment program. We're reorganizing the Company, the markets and the regions are in very capable hands. And we're filling, step by step all the positions of head of the Maison of the -- sorry, of the Brand Houses. It is extremely important because it would strengthen our leadership team. So I think it is important to fill the position, but it is equally important to make the right choice. In terms of qualities, of course, Campari is an international player. The biggest market is the U.S., so it's not necessarily to be Italian. It can be by chance, but that's not a necessity to us. The management team of Campari is quite diversified in terms of origin, all FMCGs, and in terms of culture. So it's important to be not Italian, but internationally, mindset -- have an international mindset. In terms of internal, external, the two avenues are equally possible at this stage. So we cannot disclose more than that. But we sense that we're making good progress and more to come. That's what, Andrea, I can say at this stage.
Andrea Pistacchi: Thank you, Paolo.
Operator: The next question is from Sanjeet Aujla, UBS. Please go ahead.
Sanjeet Aujla: Hi, good evening, everyone. A couple from me please. Firstly, as you look out to Q4, is your expectation at this stage for organic sales to be broadly in line with Q3 versus slightly better? And as you're thinking about building back up to mid to high-single-digit top line, is that a relevant framework to think about for 2025 or which of the headwinds you're seeing at the moment across your business do you expect to continue into, at least early part of 2025? That's my first question. And then as you're thinking about non-core disposals, I appreciate you might not want to get into brand specific, but can you give us a sense of what percentage of your sales today would you classify as non-core that could be disposed of in the fullness of time? And my third question is really around, going back to the U.S., I think you highlighted a bit of unexpected destocking in your business, but the terms seem to be somewhat reassuring on sellouts. Can you just give us a sense of, where your depletions were in Q3, and for how long do you expect retail and destocking to persist? Thanks.
Paolo Marchesini: If you look at the organic, Q4 organic sale expectations, we think Q4 will be positive, so it will not be, of course, super positive. Also, taking into consideration the top comp of Q4 of last year, but we're definitely in positive territory. With the 2025, or the mid-to-long-term, sorry, the mid-to-long-term, mid-to-high single-digit top-line organic growth rate, I think it very much depends on market conditions. And I believe realistically, probably the beginning of next year, it will still be relatively soft, and then it would improve. We clearly count on the stimulus measures of the different central banks and the end of the election period, so there would be many factors that they bode well. But in terms of mid-to-high single-digit growth strategy, we're looking more into 2026. But I think the key point is that if you look at our growth trajectory, why, we remain extremely positive. First and foremost, there is an outperformance in key brand-marketing combination that is there and is destined to stay. On pricing, as I have answered to Andrea, we remain extremely disciplined. There are non-recurring impacts on performance, the hurricane, the poor weather in EMEA, but that's a non-recurring impact. Aperol is, as I said, outperforming across all EMEA markets, but also in the U.S., it's growing double digits in all city markets. So in Italy, the performance is soft, but it's totally driven by wholesaler stocking and the commercial dispute. In the U.S., as I said, problem is with the muted sector context, but the performance is extremely strong. Espolon is in a very good position. In tequila, we will see what happens on vodka. Espolon is really in a good spot. We've seen in vodka, Tito's, where it went as the super-premium-plus vodka started decelerating and consumers moving into a brand that has very strong equity, a reasonable price and a very strong traction in the on-trade and very credible marketing positioning. This is where we are on Espolon. It's $27 to $29 per bottle. I think it's the sweet spot, so it can only accelerate. On Courvoisier, I think, it's a long-term slow burn, but we start seeing the first positive sign, despite the category that remains quite challenging. I think then, we remain positive because of the initiatives that I've mentioned, the REORG, the streamline portfolio, and the post-containment project. So I think, talking to the top line, I think we are definitely there. Macro, we cannot foresee it completely, but I think we believe it will improve over time. Vis-a-vis disposals, we cannot be specific on brands, but clearly, we're not fishing in the pond of global priority brands. Those are not for sale, including, if that is the question SKYY Vodka that is not performing nicely in the U.S. Vodka is still the biggest category in volume and probably the second biggest after tequila in value. It provides critical mass to our U.S. organization. It's a category, where you have to play in the U.S., so this is not a brand that we intend to sell. But then you have clearly, local priorities. Those are priorities, but in regional priorities, probably in the rest of the portfolio, it's where we may want to streamline. The logic at the moment is not achieving a percentage reduction of revenues by disposal of assets. It's more a reduction of complexity. So we will first chase and get rid of brands that are creating a lot of complexity for the organization and limited profits in all geographies. So this is the logic that we're trying to pursue. In terms of the stocking, I think this is the other one. I said at the wholesale level in the U.S., we're pretty fine. I don't think there is anything to signal. In retail inventory, in retail inventory, it seems that there is probably a little bit too much there. Given the subdued environment, the retailers are less keen to buy because they don't want to hold inventory. So this is where probably we will see some tail-end effects. Also, I do not expect anything meaningful. And then consumers at home, probably they bought heavily during the pandemic and probably on SKUs that have low rotation, typically the high price point SKUs, the consumer has something in their pantry. Less so on high rotation products like Vodka and Tequila. I think this is not of a concern. We think that the stocking will most likely phase out in Q4 and we should be fine in the next year. The last question is, this is it. Yes.
Operator: The next question is from Simon Hales, Citi. Please go ahead.
Simon Hales: Thank you. Good evening Paolo and Chiara. A couple of quick ones, hopefully for me. Coming back to the 2024 outlook as things stand, obviously you're looking at low single-digit organic sales growth for the full year now. You said it was still slightly positive in Q4. It doesn't sound from the comments you made with regard to the margin outlook into Q4 that we were going to see much of an improvement on the organic margin picture at EBIT versus what we saw in Q3. If my maths is correct, that means we're probably looking at EBIT margins for the full year, maybe down about 200 basis points. Is that the right way to think about the messaging you're giving for this year? So that's the first question. And then secondly, just on perimeter impacts, clearly a small positive contribution to profitability for the nine months that you highlighted. But given what you said about Courvoisier from an investment and a destocking standpoint, do you still expect perimeter effects to be positive for the full year 2024?
Paolo Marchesini: Yes. On the first one, looking at the year 2024 and the fourth quarter specifically, so we're in positive territory definitely on the top line. The problem is the lack of absorption of fixed costs, both in COGS and in SG&A. So clearly in COGS, we're slowing down production at our key sites, production sites. So this is where we see deterioration of gross margin in the fourth quarter. And equally, as Chiara has just mentioned, in SG&A, 75% of SG&A are fixed. And then we cannot absorb the fixed costs and the investment initiatives that we've implemented, starting from, unfortunately, July Q3, they have a tailing effect in Q4. So if you look at SG&A, in value, we're expecting SG&A to grow in line with Q3. So this is dilutive as well. So you are mentioning the 200 basis point dilution at the level of gross profit -- sorry, gross -- EBIT margin. And I think it's a little bit on the high side. I think we can do probably a little bit better, but we need to -- in fourth quarter, we need to see where it goes. On the perimeter, yes, so it would be still positive, the perimeter contribution on Courvoisier. But it will be 5 times. Honestly, we were guiding the markets for the €10 million profit contribution from first-time consolidation of Courvoisier. If you take into consideration cleanup of the market, investment in Strasbourg and so forth, it will be not there. It will be below the €10 million. So I think realistically, roughly, €5 million is a sensible number.
Simon Hales: Got it. Thanks, Paolo.
Operator: The next question is from Chris Picher with Redburn. Please go ahead.
Chris Pitcher: Thank you very much. A couple of technical questions and one strategic. On Jamaica, the impact from the hurricane, that shortfall in the third quarter, are you back up and running enough to start to replenish? And therefore, should you see some bounce in Q4 in Jamaica or is that more into next year? Then on your investment plans. Can you say, how much you're sort of committed in terms of ODB purchases for Courvoisier and what the sort of working capital outlay is likely to be? Because the stocks were pretty high when you consolidated it? And then thirdly, Paolo, if you could just talk briefly about the logic behind the Capevin Holdings investment. Is there a route to control over the medium term and what are the short-term benefits by having a minority stake in a Scotch business? Thanks.
Paolo Marchesini: On the first one, Jamaica, the Jamaican thing is exactly two issues at the same time. There is one that is the most evident, the hurricane. There is a second one that is our ability, this is more long-term, to distill at full capacity in Jamaica, to support the development of our rum portfolio, both J. Wray & Nephew, that has a short aging period, as well as Appleton Estate that is 12, 18 and so forth. On the first one, clearly, the hurricane disruption has impacted our ability not only to distill but also to bottle physically. We will fix it by December, so we still are expecting Q4 to be negative in Jamaica. And the shortfall of supply will still impact international markets, namely the U.K. and the U.S., the two biggest ones. The other one, the issue of ability to distill at full steam, that depends on the investment, the green project of dunder treatment, so waste management treatment. This project, the second one, will be completed in the first part of next year as planned. That would unlock the possibility for us to distill at full steam. Benefits would be immediate on J. Wray & Nephew overproof for both the Jamaican market. The brand is extremely strong in the U.S. and U.K., so also in international markets. A little bit more down the road, so think at H2 2025. So this is how we see, the Jamaican issue being solved between, say, December this year on general operations and on distilling for full steam, a little bit more down the road. On the ODB, as you said, we have more than enough, given the reduction of volumes in the marketplace. So we can trim the procurement volumes, leveraging the existing ODBs. With the acquisition, we've inherited €400 million of aging liquids. So if anything, I see opportunities in terms of cash flow to exploit the existing ODB and have a positive impact on operating working capital. The other one is the Capevin. Yes, it's a financial investment. We have achieved roughly 15% of the company. Of course, we have minority shareholder protections. And this is where I think we have an opportunity in the mid to long term because the portfolio is extremely interesting. So, I think, for the time being, it's nearly a financial investment. The brand portfolio is quite nice from Bunnahabhain to Tobermory, Ledaig, Deanston as well as Scottish Leader. It's a very interesting business in Taiwan. So it's a financial investment for the time being and then we'll see.
Chris Pitcher: Just to clarify, it's all about consolidating Courvoisier, sorting that out. There's not a short-term risk that you move to control there. This is mid to long term.
Paolo Marchesini: Sorry, can you -- I've lost your question.
Chris Pitcher: Sorry, you said over the mid to long term. There's no risk that while you're trying to consolidate Courvoisier, you then try and take on another increased investment in Scotch. That is very much a longer-term prospect.
Paolo Marchesini: It depends, yes, but it's not for tomorrow, I believe.
Chris Pitcher: Okay, thank you.
Operator: The next question is from Trevor Stirling with Bernstein. Please go ahead.
Trevor Stirling: Hi, Paulo and Chiara. Two questions from me, please. The first one, Paulo, you talked about a return towards mid to high single-digit growth, but six months to nine months ago, we were talking about Campari being a business that should be growing high single digits or low double digits. So does that reflect a change in strategic expectations that you think the long-term growth of the business isn't quite as strong as it is six months to nine months ago? And the second question was relating to rate of de-leverage. I appreciate, Paulo, that a lot depends on the actual level of EBITDA growth. It's not just the level of debt reduction. But can you give us any idea of the range of what you think the underlying rate of de-leverage should be in the business?
Paolo Marchesini: No, vis-a-vis the mid to high single-digit organic growth trajectory indication, it's definitely not a change in our expectations. The business is solid as it was in the past. Clearly, it's interpreted with a pinch of salt, given the current market dynamics. So, you have to read it as okay. Structurally, the company, the key brand market combinations are in an extremely strong spot. The market at the moment and consumer confidence is what it is, but you don't have to read it as a reduction of our ambition, if you will. On de-leverage, of course, as you very well know, we have this extraordinary CapEx program that is still ongoing. Therefore, as you correctly pointed out, the reduction of indebtedness of debts is not big in this year and in the coming year. But of course, if I can say, as the market normalizes and we achieve our target top-line growth and we deliver the expansion of gross margin that we've commented, plus the expected savings in structural cost, so the 200 basis points, I think we can achieve a pretty quick de-leveraging in the coming years. If I think at the 200 basis point, cost compression, SG&A as a percentage of sale, in terms of curve, we would see it as a bell shape. So, probably 50 basis points in year 1, 90 basis points in year 2, where all measures will have full impact and then probably a tail of 60 basis points in year 3. So, that's how we see it. Clearly, in terms of phasing, if you look at the year 2025, given the investments we made in the second half of this year, we're expecting some carry forward effect in Q1 and Q2 of next year on SG&A. So, the operating leverage in year 2025 will be primarily skewed in the second half of the year. But still, we have plans in place and I think we'll be there by the end.
Trevor Stirling: Thank you very much, Paolo.
Paolo Marchesini: Thank you, Trevor.
Operator: The next question is from Isacco Brambilla, Mediobanca. Please go ahead.
Isacco Brambilla: Hi, good evening, everybody. A quick follow-up on the net financial position side. Just wondering, if there is any kind of guidance you may give for this year in terms of leverage?
Paolo Marchesini: No, we're not giving a guidance, but it would not materially move from the current position.
Isacco Brambilla: Okay. Thanks, Paolo.
Paolo Marchesini: Thank you.
Operator: The next question is from Jeremy Fialko with HSBC. Please, go ahead.
Jeremy Fialko: Hi, good evening. Thanks for taking the question. So, a couple from me. First of all, talk a bit more about the U.S. cognac category and just how you see that evolving over the coming period? So, obviously, it's in a very difficult spot at the moment. And how can you give yourself the confidence that there aren't some more kind of structural issues within the category in terms of consumer preferences and previously cognac consumers migrating to other categories? Second one is on the Asia region, where I believe that your predecessor had indicated that there was going to be double-digit growth in the second half, but still a lot of disruption due to route to market changes. So, perhaps you could elaborate on those and when you think you get into a kind of cleaner situation? And then the final one is on Italy. If you could talk a bit more about whether that retail dispute has been solved and how you see inventories in the kind of Italian wholesale supply chain? Thanks.
Paolo Marchesini: So, starting from the U.S. cognac industry is one of the categories, where we saw high promotional activity. And it seems that the high-end cognacs are struggling the most with consumers trending down into VS. Luckily enough for us, our U.S. business is primarily, VS. So, that is potentially a positive. Of course, the level of inventories seems to be in cognac now reasonably okay. And so, in the future, our expectations currently are that the selling, the shipments will mirror depletions and sell-out data. So, that's the -- our expectations. Of course, on Courvoisier, we need to reveal the equity. There is a big opportunity of lifting price over time. At the moment, it is probably 30% below the biggest player. And we need to catch up there because the brand does deserve more. So, on cognac, we think we will develop an interesting marketing platform for the brand in 2025. And that would start to put a little bit of energy into Courvoisier. Vis-a-vis Asia, yes, the double-digit growth strategy is not achievable on a full year. Stealing Q4, we're expecting good results. In terms of disruption, probably China is the market, where we've moved from a distributor go-to-consumer structure into having our own organization. As the time goes by, we are more-and-more covered with Tier 1 and Tier 2 wholesalers distribution across all the regions. Clearly, if you think cognac, the area where we see big opportunities is the south and east. And this is where we're building our organization. So, of course, we have presence in Shanghai and in Beijing, but clearly in the south, Shenzhen and Guangzhou is where we're making further progress, and in the southeast, Xiamen is where we're going. If you think of cognac in Asia, it's meal consumption in the south and southeast. It's energy venues and gifting across the whole country. And probably, for us, there is an opportunity there, not only for Courvoisier, but also for Aperol and Aperol Spritz. So, we are quite confident, but still, it's a big country, and the path of execution of our go-to-consumer, direct-to-consumer strategy is probably slower than what we thought. India is the other market, where we've had some changes of management and distributor. So, even there, I think we are behind schedule. But if I look at other markets, for example, Japan is an extremely promising market. We're growing nicely in this market, and we see a lot of potential there. South Korea, I've mentioned that, is a very high-margin market with a significant bronze spirit market. We have basically took full control of the distributor. And so, basically, it's a focus market for us. Of course, in Asia, the largest market remains Australia, which is going through poor macro conditions. But on the other hand, we have a very strong performance on our aperitifs, and we're entering into the peak season of consumption for aperitifs in Australia. We've a little bit tweaked the Australian strategy. You used to be, I have to say, in sync with the context, very much off-trade focused, with a new management team in place, and with new strategy, where seeing more emphasis on the on-trade. So, we think, particularly Aperol and Campari, will benefit of this, reallocation of focus and energy into the on-trade channel that is fundamental. But still, it's a highly competitive market, where we operate with ready-to-drinks, Wild Turkey in particular, and glass business, the Bourbon and Wild Turkey. So, it's definitely not, it's on a four-year basis a double-digit growth market. Vis-a-vis, the last question, the Italian wholesalers. Yes, they have this talked a lot, I have to say. You have to think that Italian wholesalers as small players, not the big multinational and multinational, it's a small business, so perception matters a lot to them, of consumer confidence and consumption in the on-trade particularly. So at the moment, the sentiment remains negative. So, they are aggressively restocking. We think most is done. We don't expect further restocking. The level of stocks is quite low at the moment. You do not have all the elements because the Fed is highly fragmented and it's multi-layered, but it seems to us that the worst is behind us and most of the stocking has occurred. Of course, the consumer confidence and disposable income in Italy is an important element and that's what can really make the difference.
Jeremy Fialko: I'm sorry, just on the retailer dispute, I know that quite a few questions there, but if there's anything you could say about whether that is now resolved or not?
Paolo Marchesini: Sorry?
Jeremy Fialko: I think the question about the dispute with one of the convenience store retailers that you mentioned in Italy, whether that is now resolved?
Paolo Marchesini: Yes, the commercial dispute is closed. So we're back to business. Yes, unfortunately, we've lost the big season with them. So basically, they ask for price reduction, which is not in our cards. So we prefer to walk away. They had to lease both Campari and Aperol by buying the product in the wholesale channel and in the cash and carry, but clearly, they position the price at a very, very high level. So basically, the breadth were not rotating in a critical channel. We've lost a million euros in that channel, on that account in Italy, in Q3. But I think it's important because if you keep price discipline, then you can better manage all other retailers in the upcoming negotiations on a price increase for 2025. If you give up, then everything becomes more-and-more difficult.
Jeremy Fialko: Perfect. Thanks for those detailed responses.
Operator: Mr. Marchesini, there are no more questions registered at this time. Apologies, we have a question from Francesco Brilli with Intermonte. Please go ahead.
Francesco Brilli: Yes, good evening. Thanks for taking my question. Just a very quick one. Just wondering, is there a link to the cost containment programs, some additional CapEx, specifically for infrastructure in technology or something like that? Very quick one.
Paolo Marchesini: No, we're not envisaging any specific CapEx. It's org design, org adjustments and leveraging, past the CapEx. So, we've invested a lot in IT, in technology, and this is clearly, unlocking opportunities in terms of reducing the cost of doing business. Of course, it's not just the technology, it's also, process design. So we're simplifying our processes from planning to, to whatever, to be more effective and agile in what we do. And that, comes with cost reduction. But no, we're not adding any other extraordinary CapEx to the ones that have been already announced.
Francesco Brilli: Okay, perfect. Thank you.
Operator: The next question is from Paola Carboni with EQUITA SIM. Please go ahead.
Paola Carboni: Yes, hi. Good evening, everybody. Chiara, Paolo. I have a very quick question on your guidance for savings on SG&A on the three-year period. I was wondering whether we should take this indication of 200 basis point saving as the gross effect of your initiatives, but then we might expect you to keep on strengthening your route to market in some region as much as supporting, for example, Courvoisier and so on. Or is it reasonable to expect this 200 basis point to be entirely visible as a net effect? And the secondly, on Courvoisier, if you can give us a sense of where you are with the cleanup of the range. Has the brand already been impacted by this in 2024, including the current quarter? Or should we expect this headwind to continue in 2025? And to what extent is possible? Thank you very much.
Paolo Marchesini: No, on the SG&A front, we are aiming to achieve 200 basis point reduction of SG&A on net sales, net of any investment. So it's a straight 200 basis point cost containment on revenues. So, any investment in route to market is covered by that. So it's not offset by other incremental investments. So if you look at the year 2025, I said, the shape is a bell shape 50, 90, 60, '26 and '27. So if you look at 2025, you have the 90 basis point organic gross margin expansion due to the already mentioned, net effect of tailwinds and headwinds, the €30 million. You have the synergy program, the cost containment program of 50 basis points. And within that, we accommodate potentially, a minimal step up of A&P as a percentage of revenues, if any. So that could be seen on the back of the analysis of our operating model review with the creation of houses of brands and the review of the marketing budgets, global marketing budgets and local marketing budgets. So we think, there are opportunities for a strategy and efficiency is also in the A&P spend. And so, we'll see what's the outcome. So, but directionally, we may want to step up the A&P to the say the 17% as percentage of revenues. We'll see whether that, of course, '25 or in subsequent year.
Paola Carboni: Okay, thank you. And on Courvoisier, if you can. Thank you.
Paolo Marchesini: Yes. So on Courvoisier, there is the need of doing the cleanup of the range. At this stage, the premium end is primarily, so over and above XO targeting China, Asia. At the moment, given the level of stocks that are there, there is very limited business. So, actually the impact on 2025 is negligible. And so even if we decide that to proceed with the cleanup, as we will decide to proceed with the cleanup of the range in 2025 and onwards, the impact on the business is insignificant. It's not the Grand Marnier business case, where we've cut cordon zone in Germany, which was a good 10% of the business. So here is small.
Paola Carboni: Okay, thank you.
Paolo Marchesini: Thank you.
Operator: Mr. Marchesini, there are no more questions registered at this time.
Paolo Marchesini: Okay. Thank you very much. I look forward to seeing you soon. And that's about it. Enjoy the evening and the evening for everybody now.
Chiara Garavini: Thank you.
Paolo Marchesini: Thank you. Bye.
Operator: Ladies and gentlemen, thank you for joining, the conference is now over. You may disconnect your telephones.